Operator: Good morning, ladies and gentlemen. Welcome to Vale’s Conference Call to discuss Second Quarter 2016 Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded and the recording will be available on the Company’s website at vale.com at Investors link. The replay of this conference call will be available by phone until August 3, 2016, on 55-113-193-1012 or 2820-4012, access code 8020044#. This conference call and the slide presentation are being transmitted via Internet as well, also through the Company’s website. Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comment as a result of macroeconomic conditions, market risks and other factors. With us today are Mr. Murilo Ferreira, Chief Executive Officer, CEO; Mr. Luciano Siani, Executive Officer of Finance and Investor Relations, CFO; Mr. Peter Poppinga, Executive Officer of Ferrous Minerals; Mr. Roger Downey, Executive Officer of Fertilizers and Coal; Mr. Humberto Freitas, Executive Officer of Logistics and Mineral Research; Ms. Jennifer Maki, Executive Office of Base Metals; and Mr. Clovis Torres, General Counsel. First, Mr. Luciano Siani will proceed with the presentation. And after that, we will open for questions and answers. It’s now my pleasure to turn the call over to Mr. Luciano Siani. Sir, you may now begin.
Luciano Siani: Good morning for everyone. Welcome to our webcast and conference call. Thank you for joining us to discuss our results. And we’re proud to report that we had another good operational and financial performance in the second quarter of 2016. On the operational performance, we have reached several production records for the second quarter. For example, we achieved production records in Carajás, iron ore production, in total nickel production, in total copper and in gold production, all for the second quarter. On the financial side, we’re proud to share with you that we achieved very good cost and expenses reduction in the first half of the year. Cost and expenses decreased by $1.8 billion from the first half of 2015 to the first half of 2016, enabling us to achieve a 22% improvement in EBITDA from $3.6 billion to $4.4 billion in the first half of 2016, despite the $860 million drop in revenues due to lower prices. So, that’s the key highlight I’d say of the entire results of this quarter -- an increase in EBITDA despite the falling revenues, thanks to cost and expense reduction. Moving to the second quarter performance, adjusted EBITDA was $2.4 billion, about 20% higher than first quarter ‘16, with very good results especially from our Ferrous Minerals and Base Metals segments. Our capital expenditures totaled slightly less than $1.4 billion in the second quarter of 2016 with project execution totaling $900 million and with $540 million spent in S11D project. We focused on strengthening our balance sheet and continued to reduce our leverage in the second quarter. Net debt decreased slightly to $27.5 billion with the cash position of $4.3 billion. But most remarkably, in this quarter, we reduced almost $400 million in debt. So, we paid more than we drew down from our facilities. However, this was partially offset by the impact of the appreciation of the Brazilian real on a translation of Brazilian reais denominated debt into U.S. dollars. So that’s the reason why you didn’t see a more substantial reduction in debt this quarter. Talking now about Ferrous Minerals, our C1 cash cost for iron ore fines totaled $13.2 per ton, increasing $0.90 per ton when compared to the first quarter of 2016, despite appreciation of the Brazilian real against the U.S. dollar that would have entailed a growth and increase of $1.2 per ton, showing the resilience of the ongoing cost cutting initiatives. So, therefore, costs increased yes, but less than what it would have, hadn’t we done our cost reductions initiative. Our freight costs slightly increase to $11.8 per ton due to the negative impact of higher bunker oil prices in our chartering contracts. And our iron ore and pellets EBITDA breakeven landed in China was almost in inline with the previous quarter, marginally increasing from $28 per ton in the first quarter of 2016 to $28.5 per ton in the second quarter, so despite the effects of appreciating of the real, higher bunker oil prices and also higher royalties because of the higher prices, so which impacted by also another $0.50 in our overall lending in cost. We achieved significant improvement in price realization and higher volumes. So, EBITDA in the Ferrous Minerals segment was $2.1 billion, increasing 23% quarter-on-quarter in the second quarter of 2016. Then S11D, the most important project in our history is being commissioned, 90% physical progress at the mine and plant, 70% at the logistics sites, the Estrada de Ferro, Carajás and the rail spur, and the rail spur itself 92%. We had the pleasure yesterday, myself, Mr. Ferreira and others to ride on a passenger train through the entire railway spur. So, it’s almost ready. In Base Metals, EBITDA totaled $376 million almost 15% higher than in the first quarter of 2016, as a result of lower costs and higher prices, which more than offset the impact of the appreciation of the Canadian dollar, which happened as well like the Brazilian real. The nickel price is slowly recovering. In the second quarter, our nickel realized prices were positively impacted by higher premiums over the LME, increasing 4.5% in the second quarter of 2016 versus in the first quarter, more than 3.8% increase in the LME nickel prices, so premiums increasing. In Vale New Caledonia, VNC, unit costs net of byproduct credit achieved $12,200 per ton in the second quarter of 2016, decreasing again now by about 5% over the last quarter. And Salobo’s EBITDA totaled about to $122 million, practically in line with the EBITDA in the first quarter, despite the appreciation of the Brazilian real. Coal and fertilizers: With coal, we continue to focus on reducing costs including profitability and ramping up the Nacala Logistics Corridor. Coal performance was positively impacted by the cost decrease Mozambique, the production cost per ton in Mozambique for the coal transported through the Nacala Logistics Corridor decreased by almost 40% compared to the previous quarter, should continue to improve in the coming quarters with the ramp up of the Nacala Logistics Corridor and the Moatize II project. The ramp-up of the Nacala Logistics quarter, as we mentioned, continued as planned with almost 1.7 million tons of coal transported on the railway and 19 shipments concluded in the quarter. The start-up of Moatize II as I mentioned is expected by early August. And fertilizers’ EBITDA was negatively impacted by lower market prices and by the appreciation of the Brazilian real and totaled $32 million in the period. We would like to conclude by telling you that we stand by the belief that the Samarco agreement provides the concrete, effective and long-term frame work to remediate and compensate for the impacts of the Samarco dam failure. But, given the uncertainties related to the date of redemption of Samarco’s operations, we provision in its interim financial statements, the amount of R$3.7 billion, equivalent to Vale’s secondary responsibility and the agreement to support the Samarco foundation on the long-term recovery of the communities in the environment. So, it’s a conservative stance but that’s the one we decided to adopt. We’re pleased to inform that despite inflationary pressures, we increased our competitiveness in the iron ore business. C1 cash costs from iron ore fines reached the lowest level ever of R$46.10 per ton, so continued decrease in reais. And we remain committed to our divestment program, having sold three very large ore carries this quarter. Looking forward, we remain fully focused on completing our CapEx program, therefore, reducing CapEx, improving our operations, maintaining our CapEx discipline, and deleveraging our balance sheet. And as we approach the completion of our CapEx program, we are reaching an inflection point. The ramp up of brand new mines and logistics infrastructure in iron ore, coal and copper, expanded our operational flexibility and the ability to operate at a higher margin levels, while reducing our future sustaining CapEx needs. For us, the future is now. Thank you for your attention. And now let’s open this webcast for Q&A.
Operator: [Operator Instructions] Our first question comes from Carlos de Alba, Morgan Stanley.
Carlos de Alba: First question, if you could maybe Luciano, give us, please an update on the asset sales. I think this is an important point on the deleveraging story. So, if you have any comments that would be very useful. And second is on the sustaining CapEx for the iron ore operations. They have continued coming down; they reached 1.8 in the second quarter. How sustainable is this level? And if you can provide us any outlook that would be also useful for modeling purposes.
Luciano Siani: Carlos, thank you for your question. First, an update on the Mozambique, coal and project finance deal. It had substantial progress in this quarter, so we closed the agreements with Mozambique, the Mozambique government. We concluded the negotiations of the term sheets. So, all the structural points have been cleared with the banks. Now, adjusting to documentation phase, yes we still need approvals of Malawi, the government of Malawi, but it’s going on very well. So, the likelihood that we will have signed by the fourth quarter is increasing as the day passes, and that’s a firm goal that we have. So, that’s very important one for deleveraging. In terms of transactions, we also have two other important transactions on the pipeline, which we -- you should expect an announcement soon. So, we cannot advance details right now but what we can say is that we’re very confident that we will bring to the market very good news in a very short period of time, during this third quarter. So, that’s where we stand so far.
Peter Poppinga: Hi, Carlos, Peter speaking. On the sustaining CapEx, you’re right; it came down quite a lot. We’re optimizing our supply chain, but it’s reaching a limit. It’ll probably still go down a little bit further, but it’s probably close to a healthy limit, and this is sustainable. Some examples are for instance, we need to decrease our haulage distance, and we’re putting some -- installing some conveyor belts from the mine to the beneficiation plant like for instance in the N4 mine in the Carajás or in the Minas do Meio Itabira mines in order -- to the Caue plant. So, such examples are typical examples of sustaining CapEx. But, it will be reaching a limit, and it is sustainable.
Operator: Our next question comes from Rene Kleyweg with Deutsche Bank.
Rene Kleyweg: One clarification and two questions, if I may. Luciano, I presume the two imminent transactions that you refer to, do not include any discussions regarding the strategic asset that you’re potentially looking to sell a stake in. And then, in terms of the questions, one, could you -- Peter, could you provide an update again, sorry, on how the commissioning at S11D is going and what visibility you have in terms of first production and first shipments? And secondly, on the timeframe and CapEx involved in terms of Tubarão 1 and 2, you have made comments in recent weeks that you are reanalyzing the potential of starting up those operations again.
Luciano Siani: We would prefer to leave the answer as it was. So, I am not giving you indications about the transactions to come. So, let’s wait for the news when they break out.
Murilo Ferreira: But anyway, Rene, we could you that we’re very positive about the closing for these transactions.
Peter Poppinga: Rene in terms of S11D, you saw that it is very advanced -- well-advanced, and it’s now being commissioned. This project is divided into three lines at the mine and also in the beneficiation plants downhill. So, the first line is being commissioned and until December -- until November actually, we’ve planned to have at least one line fully commissioned, and it will start up. The first production will start in December, but no sales are forecasted to happen in this year; this is for January, until it gets to the port and fills the pipeline. And in terms of truckless, you’ll see it’s also moving in parallel and it’s also going well, all the conveyor belts are nearly all installed and are also being commissioned. So, S11D is going well. And what I -- in terms of ramp ups, we have targets, but what’s more important is what I said earlier is that we have a defined capacity at the railway. My colleague, Humberto, always trying increase that but realistically speaking, for 2017, we are talking about something about 175 million tons and that will come of course majority from the northern range and the rest will come from S11D, and this will be filled. Tubarão 1 and 2, it is a very low CapEx to restart that. And we are not going to use the full capacity. Please remember that Tubarão 1 and 2 today already grinds part of the circuits we used to grind for the other pellets plants. So, the capacity increase there would be not very big, but it’s a very low CapEx to restart. And it would be a swing plant to come in and then if necessary to come out very easily again. Thank you.
Operator: Our next question comes from Jon Brandt with HSBC.
Jon Brandt: Just two quick questions from me. If you could comment a little bit on the iron ore market itself and what your expectation is for the second half of 2016, how sustainable you think are prices above $60? And then, secondly, I wanted to ask about Samarco and the provision. My understanding is most of this is non-cash, though there is about $150 million that will have a cash impact. At what point, if production doesn’t restart at some point, will you have to put more cash into Samarco? And then sort of you could help me understand, is that later this year; is it sometime in 2017; when do you have to start putting even more cash into Samarco?
Peter Poppinga: It’s Peter speaking; let me comment on the iron ore market then. I think you know the macro story, which is when China heavily decided to invest in infrastructure and construction again and gave the credit stimulus through the fixed asset investments in July, [ph] though public spending mainly, then it changed to whole game for 2016. And demand reacted, production of steel increased, and we have the iron ore price reacting to that, right? If we just have a quick look at what happened with the inventories, the steel inventories were very low at tradeoff and at the mills, their lowest ever, in spite of the record production in June. So, this is a very good sign. And the iron ore inventories when we look to that, although they are high at the port, but it is throughout the value -- throughout the whole supply chain, we can say it’s at the normal levels, 50 days consumption, more or less in the whole shale. So, if you then consider that seaborne supply is roughly flat with 2016, although there is some seasonality coming now in second half of 2016, we see quite as balanced through restocking. So, if demand stays firm, what seems to be happening, the iron ore price will for sure stay above 50 in the second half of 2016. That’s what we believe in. And that’s actually what we forecasted in the Vale Day in December 2015, some time ago. But if you have a quick look into 2017 and that’s what where we have maybe call it the biggest disagreement with some analysts, we think the seaborne supply will actually increase little bit because worldwide new production may increase 1% or 2%. We see much less new supply, but much less new supply being added from -- as it was in 2016. So, 2017 what we think will happen, you will see a 60 million ton new supply coming probably seaborne against 110 million, which entered this year -- which are entering this year, so much less new supply being added. We have some scrap substitution. And I’m saying it again and again market is underestimating depletion and overestimating major product ramp-ups. You can see it in all the countries you look at. And the other thing which I have to add here is that of course Vale will always have a mature eye on the market. And our aim is to maximize margins. So, having that in mind, if there is not a complete collapse in steel demand, but we don’t believe, I don’t see iron ore below 50 for longer period next year.
Luciano Siani: Jon, on the Samarco provision, you’re right. It is non-cash. There is also an expectation of $150 million to be disbursed to the foundation in the second half of this year. There is a box in our results release with very detailed information about how the agreement between Samarco and the authorities entail -- develops in terms of cash outflows. And just to give you the numbers, for next year for Samarco, there is a forecast of $374 million for next year and for 2018. These amounts have to be split between Vale and BHP, should Samarco does not come back, that’s your question, so how it would develop. And from 2019 to 2021, then the amounts can vary anywhere between $250 million and $500 million, again for Samarco and the shareholders would bear a half of it. So, therefore, the cash outflows in this scenario that you envision will have this profile. We also approved as per the release of yesterday, $100 million for working capital need for Samarco, and that is outside the scope of the provision, maybe not as against the provision in the near future. But that entails our support as we still envision Samarco coming back into operations. So, this is discretionary. This is not something that is mandated by the agreement.
Operator: Our next question comes from Alex Hacking with Citi.
Alex Hacking: Peter, you just mentioned that the market may be overestimating the pace of new supply coming from projects. Can you remind us of what your guidance is for the ramp-up schedule for the S11D project; will you ship any iron ore from this project this year; and then, what’s the guidance for shipments for 2017 and 2018, if there is any? And then, a second question if I may, which is effectively the same question for Moatize. We’re seeing the project ramp up there with the shipments on the Nacala Corridor; how much coal is Moatize expected to ship in 2017 and 2018?
Peter Poppinga: I prefer not to speak about S11D in an isolated -- as an isolated system because it’ll be one system together with the other range, the northern range. We have at least for [2007] where we see room in the market and where we need to ramp up correctly, carefully, with all the security, we see the determinant factor is the logistics, the railway system, which in 2017 is forecasted to have a capacity of 175 million tons. That’s from there you can infer the ramp up in 2017. 2018 onwards, of course we’ll progress with the ramp ups. But I repeat here what I said, we will have a mature eye on the market and balance everything as much as possible to maximize our margins and also our cash flow.
Murilo Ferreira: Roger, please.
Roger Downey: Okay. Hi. Well, as you’ve seen, yes, ramping up Moatize does have a significant effect on the dilution of costs. And today we’re feeding plant II, Moatize II at a rate of about 200,000 to 300,000 a month. This compares with about just under a 1 million for Moatize I, so it gives you an idea of where we are in terms of feed rate to the plants and where we are with the ramp-up. So, that maybe gives you -- helps you estimate how that’s going to ramp up going forward. Essentially the ramping up has to go in hand in hand with the logistics. So, we are hoping to achieve 18 million tons of logistics and therefore 18 million tons of coal in 2017.
Operator: Our next question comes from Alfonso Salazar with Scotiabank.
Alfonso Salazar: My question is regarding Salobo. Compared with the original plan and the ramp up, it is still behind or has been behind in the past. And you are still very confident that Salobo will reach full capacity in the second half. So, just wondering if you can explain what’s happening here? What’s going to be the change at Salobo that will let you get to full capacity in the second quarter?
Murilo Ferreira: Okay. I leave with Jennifer Maki, but for sure, the big issue that we had it was mainly with the power supply.
Jennifer Maki: We had a number of instances in the first half where we lost power due to power outrages and we’ve been able to rectify that and it’s improved a lot, but when that happens, it takes quite a bit of time to recover. In addition to that I think we’ve had some normal challenges of any ramp up but happy to confirm that we definitely will need capacity in the second half of this year. And in speaking with the team yesterday, it looks like July will be a new record. And so, we are well on our way to a strong second half of production at Salobo.
Roger Downey: Can I just step in and correct something -- just to clarify? When I say 18 million tons in 2017 that’s a run rate that we will achieve a run rate of 80 million tons in 2017 should be the capacity of Nacala. So, we will be working with the coal mine hand in hand to reach that run rate within that year, okay. So, accumulated for the year will be lower, will be inferior to that according to our ramp up.
Operator: The next question comes from Christian Georges with Générale.
Christian Georges: Thank you. On your CapEx, just to confirm that you had I think a guidance [ph] of $5.5 billion for the current year, and I think going down towards $3.5 billion, $4 billion by 2020. Is that still the idea or should we reconsider, especially in the light of the stronger Brazilian real? And the second thing is, Fortescue I think seem to look forward to blending some of their grades in Asia, perhaps as early as year-end. Is that a realistic target and is that a priority for you? And the third thing which is a third question, I think in Brazilian magazine Valor, I think that is suggesting that the deal with Mitsui would have been revised down like 30%, since they’re implying for the stake in the mine. Is that something that is inaccurate?
Murilo Ferreira: First of all, about the Mozambique deal, I think that the relationship and documents with the Mozambique government has been finalized. It’s okay; we are in the end of the process, the same process with the Malawi government. We are just in the end in doing some revision with the documentation with international banks. And with Mitsui, we just finalize and we will be able to bring the full numbers shortly. I think that I we cannot confirm anything. We believe that we must provide some adjustment, because it’s -- in fact, it’s something different compared with the 2014. But the relevance of the deal will stay.
Luciano Siani: Christian, on the capital expenditures; so, this year should be a little higher than 5.5, more towards 5.7 to 5.8 because of the appreciation of the Brazilian real. But looking longer term, if that’s true that in one hand we have appreciation of the Brazilian real on the other hand as you can see the running rate of sustaining capital is much slower than the 3, $3.5 billion that we have indicated in the past. So, I’d say that there is a lot of room for reducing the normalized CapEx which stands as of the last Vale Day, $4 billion towards a much slower number and we will provide an update accordingly when we revise our plans. But longer term, it will be lower than that.
Roger Downey: Christian, about the blend, the idea is to help to optimize the value chain upstream in South and Southeastern system, that’s the general idea behind it. And it’s happening. Last year, when Malaysia was still ramping up, we’ve blended roughly 50 million tons. This year in Malaysia, we are going to 25, 26 and then probably reaching fully capacity next year. And other offshore blending last year we had roughly 5 million tons, this year we are doing around 25 million tons, and this will be increased again in 2017.
Operator: Our next question comes from Jeremy Sussman with Clarkson.
Jeremy Sussman: I think just looking for a little clarification here. I think on an earlier call you mentioned divestments you were looking forward to announcing next week and touched briefly on some imminent transactions earlier today. Can you just elaborate on this front? I mean it sounds like Mozambique is more of a Q4 event, but any clarification would be helpful. And just my follow-up would be in terms of what you’ve talked about with Mozambique, do you still expect the up to $2 billion of project financing or are we just talking about the equity portion closing in Q4?
Luciano Siani: So, the two transactions that we mentioned do not include Mozambique. So Mozambique, as you said, it’s more of a Q4. And the project finance maybe between $2 billion and even up to $2.7 billion. We actually have more commitments from international banks and those announced. It will depend a little bit on the syndication process as well for those tranches which are covered by some of the ECAs. But we remain very optimistic that we can get values close to the higher end. So therefore, we will receive not only the equity portion -- and reminding you the equity portion includes not only the mine portion, but also the logistics portion and reimbursement of the capital expenditures incurred since June 2016 at the proportion of the stakes in each of the mine and the logistics. So, there is several components of money which will come, and the project finance. So it’s a substantial transaction. And we continue to guide for at least $3 billion on that transaction in Q4.
Operator: Our next question comes from Thiago Lofiego with Bradesco BBI.
Thiago Lofiego: I have two questions. One, if you could comment on your additional iron ore inventory building in Malaysia, what levels can we expect you to work with once you reach normalized levels? And also, if you could comment on your -- or give us an update on the blending strategy at the Chinese ports, how that is evolving, please.
Luciano Siani: I think in Malaysia, we already reached our stock level there. It’s going smoothly now. It’s a question of optimization. In China, this will -- China, but that is also other offshore blending possibilities like Oman which we’re also using, but mainly China, we have several ports; we have several ports agreement where we are blending with our own ore. This is the Brazilian blend. The Brazilian blend is very well-accepted in China, getting a constant premium of -- this quarter it was something around $3 on top of the benchmark. And so, this is going well. We will increase that. Like I said, this year -- this quarter, we are aiming at 25 million tons and three or four ports, major ports, and this will go up. Still a learning curve, still let’s say an optimization also on how to blend and how to distribute, because it’s not only about blending, it’s also about distribution. There is bonded warehouse; there’s other possibilities, if you want to sell in renminbi. And so, there’s lots of things going on, but it’s going well. The Chinese businessmen and port authorities and other participants are working very well with us. So, that we’re very optimistic that this will create value for us and for our customers.
Operator: Our next question comes from Felipe Hirai with Bank of America Merrill Lynch.
Felipe Hirai: We have a follow-up question and another question on VNC here, if we may. First, you mentioned Siani [ph] that the project finance could be larger than the initially announced amounts. And we were wondering if there’s any feedback you could give on what the cash impact to Vale from this transaction could be, considering all this. The second question is regarding VNC. We saw a couple of months ago an announcement from Eramet, did a deal with the French government, providing some support to the operation. And we’re wondering if there’s something on Vale being studied that could provide a similar support from the government or being discussed with the government for a similar support. Those are our questions. Thank you.
Luciano Siani: On project finance, the goal continues to be at least on the equity end project and in ports at least $3 billion, but with I would say upside risks.
Jennifer Maki: On the Eramet SLN transaction, my understanding is that they’re in a unique situation of having the French state as a shareholder, owning approximately 25% of Eramet and also in New Caledonia, the local government there owns approximately 35% of SLN. So, I think that gives them some special qualification as I understand it under French rules to be able to get some funding. We don’t obviously qualify for that as the French state isn’t a shareholder. But of course, we continue to explore all options. And in the past the French state has supported us with the [indiscernible] and financing for the initial construction. And that is something that is possible for us to use again in the future.
Luciano Siani: Just for the sake of clarification, all the amounts received under the project finance will flow entirely for Vale, because they’ll be used to repay existing facilities between Vale parent company and Vale Mozambique and Vale Logistics.
Operator: Our next question comes from Rodolfo Angele with JP Morgan. 
Rodolfo Angele: The question I want to make is probably for shareholders. But since you interact, you are on the board meetings with them, I’ll give it a try. I just wonder if you could comment on how the shareholders’ agreement discussions are going. That’s all.
Murilo Ferreira: I think that that’s for sure this subject belongs to the shareholders. But, I’m very positive, for sure, in this Brazilian political contest. They need us to be more careful about analyzing some key items of the discussion. But, I am extremely positive about having a happy end in the course of this year.
Operator: Our next question comes from Marcos Assumpção with Itaú BBA. 
Marcos Assumpção: First question, if you could comment a bit on the iron ore sustaining CapEx. It was also an impressive performance, $1.8 per ton. You already mentioned that probably this number will be a little bit higher in the second half. But how you are seeing this on a sustainable basis probably after the S11D, how could we estimate this number in the future? And the second question, if you have any update on the MoU signed with FMG for the joint venture on blending and distribution of iron ore?
Peter Poppinga: Yes, Marcos. As I answered before, the sustaining is sustainable, we will probably achieve a little less than we have today but there will be a limit of course. You must remember also that we have lots of new mines coming into production like in the Southeastern System and also in S11D. So, the trend is going to be down. But, if there is some upward pressure, it will be for sure sustained. And as I mentioned before, we are investing in some conveyor belt systems inside other mines in order to reduce the distance of the -- the hauling distance, all those things together. We see that there is still room to decrease the sustaining CapEx especially because as you know, new mines, they need less sustaining CapEx than old mines. And that’s our position on the sustaining CapEx. On the MoU, I have -- we are progressing well with FMG, but at a much slower pace than we had anticipated. I don’t think we will have all blended in 2016, that’s something for 2017. There is -- on one hand, there is a tactical focus on the blend itself sales and on its upstream value chain optimization, but I think one must consider also some of the strategic considerations. And that’s being discussed now. The lab results are very promising. We have done some synthesis in labs but also in pilot plants in sinter port. There is for sure value creation for the steel plants. This is now a certainty.
Operator: Our next question comes from Fernando Mattos with Merrill Lynch.
Fernando Mattos: I think it was answered already, but just to confirm on the information regarding the project, and how much of the funds would actually in flow to Vale, specifically, how much cash Vale will receive. So, if I understood correctly, that should amount at least to -- estimated to $3 billion, depending on the success of the project finance. But just wanted to confirm how much of that would actually flow to Vale. So $3 billion more or less or it’s more?
Luciano Siani: Exactly, all the amounts will flow to Vale. Just remember that after the project finance, there will be a JV 50-50 on the logistics corridor. So, therefore, the project finance, that will be non-recourse to the shareholders, and will be therefore not consolidated within the Vale financial statements. And all the amounts on the project financial will flow directly to Vale repaying existing facilities, plus the equity amounts already discussed.
Operator: Our next question comes from Julian Lautersztain with Millennium.
Julian Lautersztain: Thank you for taking the question and congratulations on the results, especially on the cost side. My first question was on the cost side specifically. Given the royalties that you’re currently paying, do you expect any risk that those could actually be increased under the new administration and sort of new environmental minister? And the second question I had was, we’ve seen slippage on Mozambique getting the project financing in line, and given the tightening in your debt market yields, how do you sort of look at the market currently?
Murilo Ferreira: About the royalties, I think that we already have some turbulence in the political contest in Brazil. And right after the decision regarding the future of the government in the end of August, we have elections -- municipality elections. And I don’t think that it is easy to have this discussion in 2016.
Luciano Siani: On the tightening of the markets, that’s something that we’re looking very closely. As you can see in our financial statements, we have a lot of debt to be refinanced. Our cash position has been increasing and will be expected to increase the transactions. But ultimately it is likely that Vale will come to the markets at some point in time and therefore, it’s a development that we’re watching very closely.
Operator: The next question comes from Sarah Leshner with Barclays.
Michael Wolcott: Hi, this is Michael Wolcott on for Sarah. Thank you for taking my question. So, in reference specifically to the $100 million working capital facility for Samarco, along with BHP’s recently announced loan, should we read into it that Vale and BHP will continue to support Samarco’s financial obligations, in addition to the settlement?
Luciano Siani: The support is for general working capital purposes and we’re currently engaging with the creditors to -- on the discussion specifically about the financial obligations.
Operator: The next question comes from Eriko Ross with Imperial Capital.
Eriko Ross: One of my questions actually already been answered. But, I did want to specifically ask around some of the tailing dams that you currently have in Brazil. Am I correct in thinking that you have 155 tailing dams as it currently stands? And I just wanted to know specifically whether there is a viable alternative to such dams, given some of the movements I guess from the Brazilian prosecutors about potentially banning upstream tailing dams?
Peter Poppinga: That is a difficult but a very important question. We have in fact in the iron ore business, 148 tailing dams. Now, what we are doing is independent of what will be changed potentially in the law or in the licensing process, what we’re doing anyway in order to maximize our margins what I said was that we’re trying as much as possible to drive process and also to take advantage of our offshore blending capability. What we’re doing on top of that is that we are now always separating the coarser tailings from the slimes, and the slimes will be from now preferentially being deposited into exhausted pits instead of in tailings. So, that’s another way of optimizing the tailings story. That means that in our new integrated plan, looking forward some years, instead of having only 40% dry process like we have it today, we will go to 70% dry process. And there’s another maybe item which we should put on the table, no matter what will happen in terms of specific to the upstream construction method of tailing dams in Brazil in terms of legislations or restrictions. We must say that Vale -- we don’t have those dams. We don’t have -- we practically have no upstream dams in our operation continuously. And also in the future we are -- we were not considering any of those upstream dams -- new dams. So, that is something which is very different from what other companies maybe experiencing.
Operator: The next question comes from Thiago Auzier with Goldman Sachs.
Humberto Meireles: This is Humberto Meireles, thanks for the question. So, a follow-up question on the tailing dam, sort of debates. In the scenario where you can use old pits as a substitution for tailing dams, essentially what will be -- what this implies for the licensing, the environmental licensing process? I mean, how different is the licensing process when you use old mines for a tailing dam versus just launching a new or building a new tailing dam?
Peter Poppinga: So, in pit storage of slimes into a exhausted pits is for sure much easier than to license a new dam. So that is one of the non-brainers we have, and we are planning full speed ahead in this direction. And this solves our problems, our let’s say bottleneck for the next 20 years.
Operator: Our next question comes from John Tumazos with John Tumazos Very Independent Research. 
John Tumazos: Thank you very much. First question, must you have the Samarco issues entirely addressed and wrapped up before you can resume a common dividend? Second question, if next year benchmark 62% average, $60 or better and nickel was $6 or better, what do you think the possible range of dividends would be? As I read the cmegroup.com, the August month is 58.03 for iron ore; and yesterday, the 2018 futures was $6 higher than it was a week or two ago. And I recall lovingly in the first six months of ‘87 or ‘88, after a long downturn, the nickel price rose six-fold. And I want to praise you for being so polite when people ask you to discount the Mitsui deal 30% and give away 10% in the iron ore business, run mines without tailings dams. You are so patient. God bless you. I think you’re being very, very, very polite. But things are great right now. Things are good.
Luciano Siani: John thanks for as usual your very kind and stimulating comments. On the dividend, everything that we say and do, we plan for the worst, right? And we are actually assuming that the most dire predictions of some of the analysts on the street, they may materialize. So, that’s a risk that we take into account. So therefore, once you do those forecasts -- we need to be more careful and therefore not to anticipate so enthusiastically such scenarios. However, as long as they materialize, obviously it changes completely; the leverage profile may change overnight completely under the scenarios we described. And obviously the approach -- on a timing perspective, the approach to higher dividends will also change completely. I’d say what shareholders must have in the mind is that because of our capital discipline, there is no other destination for surplus of cash rather than deleveraging or paying dividends. So, Vale will not engage in expansion plans like we did in the past because the market isn’t there. So, therefore there is only two directions to go, so the debate on where to use the excess cash when and the time comes, I’d say would be a very nice moment to be in and certainly dividends will have a key and large role on that definition.
Murilo Ferreira: Then, we are in the end of conference call. Ladies and gentlemen, thank you very much for your time and your questions. See you soon.
Operator: That does conclude Vale’s conference call for today. Thank you very much for your participation. You may now disconnect.